Operator: Greetings, and welcome to the Civeo Corporation Second Quarter 2025 Earnings Call. [Operator Instructions]. Please note that this conference is being recorded. I will now turn the conference over to your host, Regan Nielsen. Please go ahead.
Regan Nielsen: Thank you, and welcome to Civeo's Second Quarter 2025 Earnings Conference Call. Today, our call will be led by Bradley Dodson, Civeo's President and Chief Executive Officer; and Collin Gerry, Civeo's Chief Financial Officer and Treasurer. Before we begin, we would like to caution listeners regarding forward-looking statements to. The extent that our remarks today contain anything other than historical information, please note that we're relying on the safe harbor protections afforded by federal law. These forward-looking remarks speak only as of the date of our earnings release and this conference call. We undertake no obligation to update or revise these forward-looking statements, except as required by law. Any such remarks should be read in context of the many factors that affect our business, including risks and uncertainties disclosed in our Forms 10-K, 10-Q and other SEC filings. I'll now turn the call over to Bradley.
Bradley J. Dodson: Thank you, Regan, and thank you all for joining us today on our second quarter 2025 earnings call. I'll start by highlighting some of the key takeaways before walking through a brief summary of our second quarter 2025 financial results, then Collin will provide financial and segment level review, I'll conclude with our 2025 guidance and the underlying regional assumptions. And then we'll open the call up for questions. Turning to our key takeaways. I'll start with significant progress that we've made towards completing our expanded share repurchase authorization. We capitalized on equity market softness earlier in the second quarter to repurchase 883,000 common shares, which is approximately 7% of Civeo's common shares outstanding. These repurchases made since the announcement of our new capital allocation plan equate to 30% of that new buyback authorization as of June 30, 2025. Civeo has now repurchased approximately 27% of its common shares outstanding since we began our share repurchase program in August of 2021. We believe that share repurchases represent a compelling use of capital, especially during broad market -- equity market volatility. Given the accelerated buybacks and the recently completed acquisition, we have now reached the upper end of our target net leverage ratio of 2x. We are comfortable with that ratio as we continue to execute under our share repurchase program. We remain committed to completing the 20% share repurchase authorization as soon as practicable and intend to use no less than 100% of the annual free cash flow to achieve that goal. I'll now move to some comments on the regional results. In Australia, we remain focused on growing our integrated services business and integrating the recent acquisition. Revenue in the region increased 4% year-over-year or 7% on a constant currency basis, and adjusted EBITDA grew by 10% or 12% on a constant currency basis. Contributions from the newly acquired Bowen Basin Villages and growth in our integrated services business are driving the strong margins that we experienced in the second quarter. Based on current customer discussions and our base of contracted nights, we expect our current Australian occupancy levels to continue through the rest of the year despite weakening in met coal prices experienced recently. We completed the acquisition of 4 villages in May and began integrating them into our operations. Approximately 2 months of those results were included in our second quarter 2025 results. We are pleased with their early contributions, and we look to realize further margin leverage going forward. Additionally, we recently announced 2 contracts in Australia in the Bowen Basin. Our renewal of a contract with an existing customer, the renewal is a 4-year take-or-pay agreement at our owned villages with expected revenues over the contract term of AUD 250 million. The second contract previously announced as a 3-year integrated services contract worth approximately AUD 64 million in revenue. These awards validate our winning strategy and position us for continued momentum in growth in Australia. In Canada, the second quarter saw the typical seasonal increase in occupancy relative to the first quarter, driven by turnaround activity in the core region of the core oil sands region. However, on a year-over-year basis, turnaround occupancy remains subdued. Conditions in Canada remain challenging given the macroeconomic headwinds, which include loan on certain oil prices and our customers' fiscal conservatism. Customers remain steadfast in their singular focus on cost reductions in response to oil price and political uncertainty and investor pressure to return capital to shareholders. We remain focused on controlling what we can control. We continue to take steps to optimize our cost structure in Canada and align our business with realities of the current environment without sacrificing our ability to capitalize on opportunities to diversify our business away from the oil sands region. Overall, we are excluding on our strategic priorities in each region. In Australia, our Australian business is hitting on all cylinders. And while the Canadian headwinds remain, we know this market well and we are working with our strategic partners to understand how we can continue to support them as we capitalize on the volume opportunities in the region. We are taking decisive action to apply our resources to position Civeo for long-term resilience and cash generation. With that, I'll turn it over to Collin.
E. Collin Gerry: Thank you, Bradley. Thank you all for joining us this morning. Typically, I would first focus on expanding more on the underlying drivers of the results in the income statement. However, the real story for this quarter relates to the balance sheet and the impact of our recent capital allocation. As Bradley mentioned, we made significant progress on our buyback authorization, completing 30% of the program in the second quarter. In addition, we executed on accretive growth through our acquisition in Australia. As a result, our net debt increased by $95 million in the second quarter, primarily driven by $65 million deployed for our recent Australian acquisition and $19 million deployed for share buybacks. Consequently, our net debt was $154 million as of June 30, 2025, resulting in a net leverage ratio of 2x. Turning to the income statement. Today, we reported total revenues in the second quarter of $162.7 million with a net loss of $3.3 million or $0.25 per diluted share. During the second quarter, we generated adjusted EBITDA of $25 million and negative operating cash flow of $2.3 million. Our free cash flow was burdened by working capital build in the quarter and the expected payment of Australian income taxes, which included a large payment related to the prior year. The decrease in adjusted EBITDA in the second quarter of 2025 compared to the year ago period was primarily due to the decreased build rooms at the Canadian lodges. We expect this lower level of customer spending to continue as producers in the region remain keenly focused on reducing costs. As we mentioned, we are taking action to cut costs and streamline the business and identifying additional opportunities across the region. Second quarter revenues from our Australian segment were $112.7 million, up 4% from $108.6 million in the second quarter of 2024. Adjusted EBITDA was $23.7 million, up 10% from $21.6 million in the second quarter of 2024. The increase in revenues and adjusted EBITDA was primarily driven by the recently completed acquisition of 4 owned villages as well as margin improvement in the integrated services business. Year-over-year increase was offset by the impact of a weakened Australian dollar relative to the U.S. dollar, which decreased revenues and EBITDA by $3.2 million and $0.7 million, respectively. Australian-owned village build rooms in the quarter were 690,000 rooms, up 10% from the second quarter of 2024, primarily due to our recently completed acquisition. Our daily room rate for Australian owned villages in U.S. dollars was $76, which decreased from $78 in the second quarter of 2024, primarily due to the weakening of the Australian dollar. Turning to Canada. We reported revenues of $50 million compared to revenues of $79.5 million in the second quarter of 2024. Adjusted EBITDA for the segment was $7.5 million, a decrease from $17.3 million in the second quarter of 2024. As noted, the year- over-year revenue and adjusted EBITDA decreases were driven by lower build rooms as our customers focused on cost and head count reductions as well as the loss of Fort Hills related occupancy from the sale of our McClelland Lake lodge. During the second quarter, billed rooms in our Canadian lodges totaled 450,000, which was down from 752,000 in the second quarter of 2024. Our daily room rate for the Canadian segment in U.S. dollars was $94, which decreased from $96 in the second quarter of 2024, primarily due to the weakening of the Canadian dollar. Looking at our capital structure. As mentioned earlier, Civeo's net debt as of June 30 was $154 million, a $95 million increase since March 31, 2025 attributable to our recent acquisition as well as significant progress made on our share repurchase authorization in the quarter. Our net leverage ratio for the quarter was 2x, with total liquidity of approximately $73 million. Given the accelerated buybacks and recently completed acquisitions, as mentioned, we have now reached the high end of our targeted leverage ratio at 2x. We have allocated $22.5 million to share repurchases in the first half of 2025 and assuming current valuations, we expect to utilize free cash flow to remain active repurchasing shares in the back half of the year. We will target a year-ending leverage ratio of approximately 2x. Turning to capital allocation. I'll start with CapEx. On a consolidated basis, Capital expenditures for the second quarter of 2025 were $4.5 million, down from $5.3 million during the second quarter of 2024. Capital expenditures in both periods were predominantly related to maintenance spending on our lodges and villages. As noted during the second quarter of 2025, we repurchased approximately 883,000 shares through our share repurchase program for a total cost of approximately $19.1 million. With our recently increased share repurchase authorization and commitment to accelerating the return of capital to shareholders, we continue to believe that repurchasing share -- Civeo shares presents a value-enhancing opportunity. Second quarter market softness gave us an excellent buyback opportunity. We've made great progress on our current share repurchase authorization, and we will continue to opportunistically execute on our plan moving forward. With that, I'll turn it back over to Bradley.
Bradley J. Dodson: Thank you, Collin. I would now like to turn our discussion over to the full year 2025 guidance on a consolidated basis, including our underlying macroeconomic and regional assumptions. We are maintaining our full year 2025 revenue and adjusted EBITDA guidance. We continue to look for revenue this year to be in a range of $640 million to $670 million and adjusted EBITDA to be in the range of $86 million to $96 million. We're also maintaining our full year capital expenditure guidance, which was a range of $20 million to $25 million. I'll now provide the regional outlook and corresponding underlying assumptions. In Australia, customer activity in our owned villages remains very strong. Three of our Bowen Basin villages continue to be effectively -- continue to operate effectively at full capacity and we are seeing strong occupancy across the remainder of our owned-village portfolio. Despite weakening met coal prices in the first half of the year, we continue -- we expect continued strength in our owned-villages throughout the balance of the year. As it relates to our Integrated Services business, we are encouraged by the top line growth as well as the year-over-year margin improvement experienced in the first half of the year and we'll continue to focus on executing on cost -- executing cost effectively as we are on our recent contract awards. We expect to build on this through the remainder of 2025 and beyond as we work towards our goal of achieving AUD 500 million of Australian integrated services revenues by 2027. In Canada, we continue to navigate the difficult operating environment in the oil sands and lower demand for temporary turnaround activity, which has exacerbated -- has been exacerbated by broader macroeconomic uncertainty. We expect billed rooms in the second half of the year to be more in line with the second half of 2024. There are more balanced between the third and fourth quarters. Lastly, we do not currently foresee any meaningful near-term rebound in upstream oil sands spending. As a result, our focus remains squarely on managing what we can control, executing on our cost reduction initiatives, enhancing operational efficiency and aligning our resource base with demand realities. During the second quarter, we took steps to streamline our large footprint, including cold closure of 2 lodges, we are actively working with a third-party consulting partner to identify additional opportunities to lower our cost structure in Canada. While 2025 is clearly a transitional year for our Canadian segment, we believe we are executing the decisive actions that will orient the business to capitalize on growth opportunities and position it for long-term growth and improved cash flow generation. I want to take a moment to thank the hard working Civeo team for their continued focus on operational excellence. That together with disciplined capital deployment is what's driving long-term shareholder value creation. With that we're happy to take questions.
Operator: [Operator Instructions] And our first question will come from Dave Storms with Stonegate.
David Joseph Storms: Just wanted to start with maybe some of the puts and takes on your guidance at a macro level. We've seen a couple of trade deals get announced in the U.S. over the last couple of weeks. Do any of those deals give you confidence to maybe -- we look at that guidance? Is there a chance that it could be biased towards the upside or the downside? Just curious as to what your thoughts are relative to that.
Bradley J. Dodson: We have been watching the trade -- the international trade situation very closely. Obviously, the - thus far to date, the impact of the trade uncertainty has not impacted our business either in Canada or Australia significantly although we watch it very closely where the impact primarily to food costs has been felt very -- in a very minor fashion in Canada. We're keeping an eye on it to make sure that doesn't accelerate. Most of our focus has been on whether trade uncertainty or disruption will impact our customers and how that might influence their need for rooms or their spending. But thus far, we've not seen any material impact either previously or with recent announcements.
David Joseph Storms: Understood. That's very helpful. And then just want to turn to the acquisition that you completed in the quarter. I know you mentioned that you're expecting maybe a little bit of additional margin increase as you continue to integrate that. I did want to double check though about the $4.9 million in roughly 2 months. Does the $30 million run rate sound fair for that property on the full year? Or are there other maybe synergies that could be squeezed out of that?
Bradley J. Dodson: On the run rate -- that's -- I mean originally, we had talked about $11 million of impact in 2025 in terms of EBITDA. We -- that was assuming we were going to close at the beginning of April, we closed at the beginning of May. So -- but the fundamentals of that are intact. Right now, we're not expecting -- so no change to our outlook at this point. Operationally, things are -- the team is doing the job of folding that into our operations with met coal prices being a little shaky here recently. I think it's too early to make a call for improvement.
Operator: Our next caller comes -- question comes from Steve Ferazani with Sidoti & Company.
Stephen Michael Ferazani: Bradley, your guide would seem to imply even if we add in the full 6 months of the 4 villages that the second half does look from a profit standpoint to be better than the first half. Can you walk through, is that better turnaround activity in 3Q? Is that more impact from the cost cuts? Can you get us to what gets the second half to at least be moderately better than your first half?
Bradley J. Dodson: Yes, I would say that -- in the second quarter, third quarter looks fairly stable overall, both on the top line and on the adjusted EBITDA line. We'll expect in Canada in the fourth quarter to have normal seasonal downtime for the holiday season. In Australia, the third quarter will be an improvement over second quarter one because of the full quarter of the 4 acquired villages. Two, because of the integrated services business that we won in the Bowen Basin that we announced and then continued strength in the base business, primarily the owned villages and the base level of integrated services.
Stephen Michael Ferazani: Great. That's helpful. Obviously, we're all looking at the met coal prices and thinking that would be a concern but then you announced a very large contract renewal for 4 years. We -- I mean, I don't want to ask you if you were surprised by that. But what's your gauge on your customers in Australia given what we've seen the extreme volatility in prices and recent weakness that you're getting those kind -- those lengthy extensions, particularly with larger customers.
Bradley J. Dodson: Well, I think it speaks to the service level, which is a combination of the field team doing a good job on food service and housekeeping coupled with an exceedingly strong safety record. That, coupled with a portfolio that can meet the customers' needs across several of their projects across several of our villages. And I think it's being close to the customer. And as they've grown over the last 5 years, we've been able to serve that growth consistently, effectively at an economic price for them. But I would say that your point is -- or your question implies something that's very valid, which is there is uncertainty in the market. And while that was -- is a great win, I would say that the -- it's relatively shaky. So with our contracted rooms base in Australia, we feel pretty good about the second half of 2025 going into 2026. But as it relates to customers, if they have -- as a hypothetical, they have a contracted minimum of 500 rooms. We have a handful of customers, several customers that are using more than their contracted minimums. What starts to get called into question is how much of that above the contracted minimums are they going to use? Are they going to start deferring maintenance projects that are starting to push things to the right? I think that in the met coal, the current met coal commodity price environment, that becomes a little bit more uncertain. So as we sit here today, we feel good about things, but the met coal price puts our antenna up and we got to pay attention.
Stephen Michael Ferazani: Got it. That's fair. If I can get one more in, just about free cash flow. Obviously, the first half, you've seen an outflow. You talked about using 100% or more of free cash flow for the share buyback. But can you talk a little bit about how this trends over the next couple of quarters given the outflows from the first because I didn't hear you update the free cash flow guide?
Bradley J. Dodson: Yes. So as it relates -- I guess, if the underlying question is related, is it -- is the question related to the repurchase program or just free cash flow in general?
Stephen Michael Ferazani: Well, I mean if you don't generate free cash flow, it's going to affect the buyback. So I guess at the core of the question is free cash flow going to be much stronger in the second half? Or how are you thinking about it?
Bradley J. Dodson: Free cash flow will be stronger in the second half, yes. We had -- as you know having followed us for as long as you have, seasonally or just through history, the first half, free cash flow is always weak. We have a ramp-up in receivables as we come out of the holiday, slow period we have some structural things, including insurance and property taxes would typically hit in the first half of the year. And then you throw on top of that, we're now a cash taxpayer in Australia that's started in earnest with the 2024 fiscal year. Those payments, as Collin noted, there was a big one this quarter that was related to 2024. So free cash flow would be better in the second half. Just to remind everyone, our capital allocation plan is to spend no less than 100% of free cash flow on the buyback until we get our 20% buyback authorization. So we will continue to be active in the second half of the year on the buyback program. And so that's expected to...
Operator: [Operator Instructions] And we'll go next to Jawad Bhuiyan with Stifel.
Jawad Hossain Bhuiyan: This is Jawad on for Stephen Gengaro. I just had a quick question on the Canadian occupancy. I guess given the continued weakness in billed rooms and then also covered with the turnaround activity that you've seen. I guess could you speak a little bit on what you're seeing so far in 3Q? And then maybe whether there's any signs of stabilization or improvements as we go into the second half of the year?
Bradley J. Dodson: Sure. As it relates to Canadian occupancy in the second quarter and the third quarter, it always depends on turnaround activity. As we sit here today, third quarter has been a continuation of the second quarter in order to hit what's implied in guidance, we will need to see some turnaround -- expected turnaround activity come to fruition in Canada, particularly in the next couple of months. And so if that does not come to fruition, we'll miss that part of guidance. But as of right now, it looks like we should see a pickup here July to August and August to September as it relates to Canadian occupancy. As always, turnaround activity is uncertain and could run longer into the fourth quarter. That's not currently contemplated in guidance. But I would say that generally speaking there is some stabilization in the Canadian occupancy.
Operator: And moving on to John Daniel with Daniel Energy Partners.
John Matthew Daniel: Bradley, I've got perhaps a basic question, so apologies for the ignorance. But as you look at Australia, today, you've got multiple U.S. service companies there, Halliburton, Liberty HP, can you walk me through the -- just the longer-term opportunity set, I'm not looking for specific guidance per se, but just what the opportunity exists with supporting that segment of companies coming over there -- just give me that market update, if you don't mind?
Bradley J. Dodson: Yes. I mean, today, our Australian operations with the exception today and historically, our oil and gas exposure in Australia has been minimal to de minimis for us. Our exposure has been at our [indiscernible] location, which from time to time has supported onshore and offshore LNG activity. As it relates to onshore land, oil and gas development, this goes back over 10 years. We did a little bit of work as it related to the Curtis Island LNG work in Queensland, but that's ongoing in terms of the opportunity for accommodations work. So on a go-forward basis, as it relates to oil and gas opportunities in Australia, it would likely be a natural gas drilling project something similar to the Santos project in New South Wales, our Boggabri and Narrabri locations are well suited to support that should that move forward. There seems to be political momentum to support further natural gas drilling and that they're facing higher power, we're facing -- the whole country is facing higher power prices and are starting to get more comfortable with natural gas being an answer to what will be a electricity availability and cost issue.
John Matthew Daniel: So nothing now but do you see -- I guess, how -- what do you think these companies are doing for accommodations for their workers because it is remote, isn't it?
Bradley J. Dodson: It is -- a lot of it is in a space that we don't currently play in, which is we do not have mobile camps in Australia. It's something we've looked at in the past and may -- and we'll continue to look at in the future. I don't see it as being a major driver for us, where I think the Australian business can grow is -- there are specific properties in our core business that would be additive if we were to acquire them. And then organic growth and potentially acquisition growth in the integrated services business. But again, we're very conscious of the fact that any capital project has to stack up against our cost of capital and the anticipated return from the buyback program.
Operator: This now concludes our question-and-answer session. I would like to turn the floor back over to Bradley Dodson for closing comments.
Bradley J. Dodson: Thank you, Gerry, and thank you, everyone, for joining the call today. We appreciate your interest in Civeo. We look forward to speaking with you on the third quarter earnings call, which we anticipate will be at the end of October.
Operator: Ladies and gentlemen, thank you for your participation. This does conclude today's teleconference. You may disconnect your lines, and have a wonderful day.